Operator: Ladies and gentlemen, thank you for standing by. Welcome to Liberty Media Corporation’s First Quarter 2022 Earnings Call. During the presentation all participants will be in listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded May 06. I would now like to turn the conference over to Courtnee Chun, Chief Portfolio Officer. Please go ahead.
Courtnee Chun: Thank you. Before we begin, we’d like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in Liberty Media’s most recent Form 10-K and 10-Q or Liberty Media Acquisition’s most recent Forms 10-K and 10-Q filed with the SEC. These forward-looking statements speak only as of the date of this call, and Liberty Media and Liberty Media acquisition expressly disclaim any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Liberty Media or Liberty Media acquisitions expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures for Liberty Media and SiriusXM including adjusted OIBDA and adjusted EBITDA. The required definitions and reconciliations for Liberty Media and SiriusXM Schedules 1 and 2 can be found at the end of the earnings press release issued today, which is available on Liberty Media's website. Now I'd like to turn the call over to Liberty President and CEO, Greg Maffei.
Gregory Maffei: Thank you, Courtney, and good morning to all of our listeners. Today speaking on the call, we'll also have Formula One's President and CEO, Stefano Domenicali, and Liberty's Chief Accounting and Principal Financial Officer, Brian Wendling. So I'll begin with SiriusXM. We received $872 million of gross dividends from Siri tax free in the first quarter, including the special and regular dividend. We -- because of the nature of our convertible bonds, we had to pass through $30 million of that special dividend. We continued our share repurchases, repurchasing $182 million across LSXMA and K from February to April. We repurchased those at a look-through price on Siri of about $3.56 a share. We, of course, remain disappointed with the discount and attack it as much as we can. We are very focused on long-term value creation for our shareholders. Now looking at SiriusXM itself. Solid start to the year, continued to perform well financially despite a challenging auto market. Revenue was up 6%. Monthly churn was wonderful, down at 1.6%, and we had record ARPU up 9%. New car penetration for SiriusXM is now at 83% and has enabled a fleet of 146 million cars here in the U.S. As expected, self-pay net adds were down slightly due to challenges in the auto market. This was partially offset by strength in digital and we have 50% increase in the subs listening digitally to our on-demand content. I'd also note, we launched our first ever streaming channel for economics, dedicated to podcasting and available across all the XM platforms. SXM Media was named the number 1 podcast ad network according to Edison Research, and we represent 4 of the top 15 podcasts in the country with the addition of Cricket Media in this month. Also beginning with this year's masters, SiriusXM is the exclusive audio provider for the tournament and providing excellent programming across all 4 rounds. Turning to Live Nation. Live's first best quarter ever, including another record quarter in Ticketmaster. And compared to 2019, AOI is up 2 times, transacted GTV is up 39% and sponsorship AOI is up 75%. We expect a record 2022. We've already sold 70 million concert tickets and expect double-digit fan growth versus 2019. Concert ticket pricing is up double digits over 2019 due to fan demand for the best seats and over 90% of our planned sponsorship net revenue is already committed. Turning to Formula One Group. On the corporate side, we repurchased 348,000 FWONA shares for $20 million or $56.14 a share and looking at that F1 itself, thrilling start to the 2022 season. So far, we've had battles back and forth on who will be on the podium each weekend. The spread event at brought exciting qualifying results, and the format is working well with the new regulations and producing strong viewership numbers. The Sprint audience is up 28% versus the qualifying last year at MLB. We also see record demand in the U.S. early in this season on ESPN viewers for the Sunday race in both Saudi and Bahrain were up 56%, and that was the most viewed race since ESPN reacquired the Formula One rights in 2018. The momentum in the United States continues with this weekend's inaugural Miami GP. And of course, you can't have not heard about the announcement of our Las Vegas GP for November 2023. As we've noted before, that will be a night race down the strip. And notably and differently than most places, Formula One and Liberty Media are self-promoting the race in partnership with local stakeholders and Live Nation. The buildout for this track will require increased CapEx and OpEx to develop and it's too early to provide you with numbers, but we intend to update you later this year. I would note that Liberty Media did enter an agreement to acquire 39 acres east of the strip to lock in circuit design and create capacity for the pit hepatic among other hospitality and race support venues. I expect that transaction will close in the second quarter, and the purchase price was $240 million, will be funded by cash on hand at the Formula One Group level. We announced numerous commercial announcements, including on the media rights side, an extension with Foxtel Group in Australia and Canal in France. Sponsorship is off to an exciting start this year with several new deals, including two new global partners, MSC and Salesforce, and we look forward to more announcements as the year progresses. We also look forward to seeing some of you this weekend in Miami. Turning to Braves. We started the season with a week-long World Series Champion celebration, including delivering world championship rings to the players. We've completed less than 20% of the season. It's a long way to go and last season showed how far things can change over this 162 games. We are hovering at around the same record as last year, and we all know how that turned out. At least we did manage a split with the mets over the last couple of days. We are excited about our roster. We signed first base in a 27-year-old Atlanta native. We strengthened the bull pen with Janssen's addition, and we're thrilled to welcome Ron Lacuna Junior back in the lineup this week. While it's early in the season, financial performance has already been incredible. Going into the season, we had the highest season ticket sales in more than two decades. We sold out all of our multiyear premium seats for the first time ever and open our renovated Delta club. And retail and concession sales have been strong for the first few home stands, including selling out most of our gold program jerseys. As you undoubtedly know, a new CBA was signed in March. There will be minimal impact from the late start since the loss games were way games, and we still expect a full 162 game season. In January, we also completed the sale of three minor League teams. And in final exciting news, we raised debuted the digital Truist Park in April for future Metaverse fan opportunity engagement. Turning briefly to LMAC. Nothing to report today. Obviously, we'll announce when we have something, but I would note the environment, which is very difficult, as many of you know, I think, does favor us, and we continue to look at some interesting opportunities. And with that, I'll turn it over to Brian for more on our financial results.
Brian Wendling: Thank you, Greg, and good morning, everyone. In January, we settled exchanges of the 2.25% Live Nation exchangeable bonds for a total consideration of $664 million, funded with cash and margin loan draws. At quarter end, Liberty SiriusXM Group has attributed cash, liquid investments and liquid investments of approximately $634 million, which excludes $76 million of cash held at SiriusXM. There's also $1 billion of undrawn margin loan capacity at the parent level related to our SiriusXM and Live Nation margin loans. As of May 5, the value of the SiriusXM stock held at Liberty SiriusXM Group was $19.7 billion and the value of the Live Nation stock held was $6.6 billion. We have $3 billion in principal amount of debt against these holdings. Total Liberty SiriusXM Group attributed principal amount of debt is $13.9 billion which includes $9.9 billion of debt at SiriusXM. Formula One Group had attributed cash, liquid investments and monetizable public holdings of $1.6 billion at quarter end, which excludes $834 million of cash held directly at Formula One. Total Formula One Group attributed principal amount of debt was $3.4 billion, which includes $2.9 billion of debt at Formula One, leaving $454 million at the corporate level. F1's $500 million revolver is undrawn and Formula One's leverage at the end of the quarter was 3.7 times, meaningfully within our target leverage range of less than 5 times. As of quarter end, we are no longer in a period of covenant waiver. Looking at a few cash items on Formula One. Formula One estimates its cash tax rate in 2022 to be single digit -- a single-digit percentage of adjusted OIBDA, increasing modestly to low double digits in 2023 and thereafter as a result of the U.K. tax rate increase that's effective next year. Additionally, Formula One is currently undergoing a project to refurbish and upgrade its U.K.-based media and technology center out at Biggin Hill in the U.K., which broadcast production and other technical activities and related staff are based. Formula One expects to incur about $40 million of incremental CapEx associated with this project, approximately half of which will be recognized in 2022 and the remainder of next year. This elevated CapEx excludes any CapEx necessary to support the launch of the Las Vegas Grand Prix in 2023. And as Greg mentioned, we'll provide updates on that later in the year. As a reminder, under the current concord agreement, team payments now take the form of an entirely variable priced fund, which is now calculated based on F1's adjusted EBIT rather than adjusted EBITDA, the adjusted EBITDA measure that was used in previous agreements, such that the calculation now takes account CapEx which is incurred through including depreciation costs in the calculation. Finally, at the Braves Group at quarter end, they have attributed cash and liquid investments of $311 million, which excludes $26 million of restricted cash. Braves Group had attributed principal amount of debt of $678 million. As Greg mentioned, the Braves completed their sale of 3 minor league teams in January. Proceeds are included in our financial results as a disposition in the first quarter, and you can see additional details on that in our 10-Q, which will get filed later today. Liberty and our consolidated subsidiaries are in compliance with their debt covenants at quarter end. And with that, I'll turn it over to Stefano to discuss Formula One.
Stefano Domenicali: Thanks, Brian. I'm thrilled to be in Miami this morning, as we have set for the inaugural Miami Grand Prix, the city is buzzing with excitement and we are looking forward to the weekend. The 2022 season is off to a phenomenal start. The many changes to the cars and regulation have resulted in improved racing. The cars now follow more closely, enabling greater opportunities for wheel-to-well racing with drivers trading position multiple times, making them think more strategically about the moves. The Sprint is back, and we held our first event of the season in Imola that came down to the final few laps. We turn out to be a grand slam we can for Redbull, heading qualifying before winning both the race and the Sprint and secure the extra point for the fastest lap. The first sprint of the season recorded a total audience of 8.4 million, up 28% versus qualifying at the same Grand Prix in 2021, with strong growth in Brazil and in the U.S. They were we can on the Sky Sport Italy website recorded a 74% increase in unique user compared to the Imola GP in 2021. On F1 social platforms, we saw 149 million, up 36% versus Imola in 2021 and 45 million engagements, a 43% increase versus 2021. However, the start of the season so far is Ferrari, which has shown real strength with the car and shows the clerical leading the Drivers Championship by 27 points. Redbull catching up. And we expect the season to continue to create great rating and close battle on the front. As the constructions continue to refine the new cars, we expect more surprises during the season and opportunities for great racing across the grid. As confirmed on our last earnings call, we will not be raising in Russia in September. We are currently considering the options for the spot and hope to announce more information soon. The action on the track is certainly drawing in the audience. Through Imola, the average audience Grand Prix across the main and Sunday sessions is 23.8 million and is up 10% versus 2021 season average. In the U.S., the Saudi Arabian Grand Prix brought in over 1.4 million average viewers, the ninth highest of all times and second highest cable. And other race themselves, the fans are back in huge numbers.  We had record attendance in Bahrain. In Saudi, we had 140,000 fans over the weekend with full capacity. Melbourne was the largest weekend ever in Australian sport in history with 420,000 fans. Strong advanced ticket sales almost everywhere suggest we may continue to see sellout at the races for the remainder of the season, including here in Miami. We were thrilled with the response to season 4 of Drive to Survive, the serious most popular season yet. On the opening weekend, fans consumed 28 million hours of Drive to Survive, and the show was ranked number 1 in 33 countries. Looking towards the 2023 season, we announced that the boot of the Las Vegas Grand Prix November 2023. This will be a Saturday night race down, the iconic trip. We cannot think of a more perfect marriage of speed and glamor. Staging of the race in the U.S. demonstrates the huge appeal and growth of our sport here. In fact, in the 24 hours following the official announcement, Winds, Las Vegas and Resort saw more requests for hotel room reservation than any other one-day period in their history. We also saw the announcement generate 4 times more social media activity than the 2024 Vega Super Bowl announcement. It is precisely this opportunity that led us to take on the promoter role for this race. We believe acting as promoter will provide us with valuable insight across the broad. As Greg mentioned, this will require investment on both the CapEx and OpEx side, and we plan to share more on this later this year. Additionally, on the race side, we announced that we extended the immediate Romani Grand Prix at the historic track through 2025. We are pleased with the progress made in the other commercial areas, especially with our new sponsors, including several in the technology space. Salesforce has joined a global part in a multiyear deal. In addition to the growing and deepening engagement with our fan base, we will gain actionable insight around our footprint as we march toward our goal of net zero emission by 2030. Tata Communications returned as the official broadcast connectivity provider of Formula One. They will facilitate the transfer of more than 100 video fees and 250 audio channel between the venues and the F1 media and technology center in the U.K. in 100 -- to 100 milliseconds, enabling us to reach over 500 million fans in 180 territories. We've already made great strides here on the ESG front as our move to remote broadcast operation in 2020 allowed us to reduce our volumes of traveling freight and staff at the racetrack. We also welcome to Lenovo as an official partner, and we will use their technology across our operations. We will leverage their extensive selection of premium hardware innovative next-generation technology such as augmented and virtual reality. Additionally, we will work together with Lenovo on projects around diversity and inclusion. We were also pleased to announce the renewal and expansion of our partnership with Workday, a leader in enterprise cloud application for finance and human resources. Outside of the global space, we announced a multiyear deal with MSC Cruises as a global partner, and they plan to bring the cruise ship sports site during the selected Grandprix weekends. And Alfa Tari Redbull premium fashion brand has become the official premium fashion apparel supplier of Formula One. On the broadcast front, we renewed our partnership with until 2029. We have seen significant viewership growth in France. The 2021 average viewership for each Grand Prix was up 18% over 2020 and up 50% compared to 2019. And the first 2 Grand Prix of the season already ranked among the top 5 racing of all times for F1 event in CANAL+. As part of the partnership, CANAL+ subscribers will now get access to F1 TV through my Canal. We also renew our partnership with the Foxtel Group in Australia in a multiyear deal. Every Grand Prix will be available in 4K and Foxtel will integrate the F1 TV app into its set-top boxes. From 2023, the F1 TV app will be available free to Foxtel subscribers and will provide multiple live in race feet, comprehensive life timing data and exclusive programming on the end of the track. F1 TV continues to see significant growth, accelerating into 2022 from an already strong 2021. At the first race of the season in Bahrain, the platform gained 427,000 new users and concurrent viewers were up to 144% compared to 2021. We continue to evolve on the gaming front and I’m feeling F1 manager in 2022. The first management simulation game as part of a long-term multi-title agreement that will be released this summer. The game allows you to be the team principle, choose your drivers and engineers and balance budget as you manage your team to victory, find out if you are or Christian or may even. As you can see from our recent commercial announcement, our ESG goals are a major focus, not only for us but also for our partners. We are moving towards our goal of being net zero carbon as supported by 2030. For the Bahrain Grand Prix, we exceeded our target to offset our emissions. Our experience promoter, the Bahrain International Circuit, demonstrate vision and speed by completing a major solar project that more than cover the energy requirements of the entire Grand Prix weekend. This successful shows what we can do as a sporting community to make a positive contribution to reduce emissions and our carbon footprint. We hope you enjoyed this weekend of racing as much as we plan to [indiscernible], full speed ahead. And now I will turn the call back over to Greg. Thank you.
Gregory Maffei: Thank you, Stefano and Brian. We hope you'll tune in to our inaugural Miami GP this weekend. We do appreciate your continued interest in Liberty Media and look forward to a healthy and productive 2022. And with that, operator, I'd like to open the line for questions.
Operator: [Operator Instructions] We'll go first to David Karnovsky with JPMorgan.
David Karnovsky: Hi, thank you. With the Las Vegas Group Grand Prix, I was hoping you could discuss a little bit more the decision to promote this yourselves as opposed to a third party. This is primarily about capturing the financial upside beyond what you could get on a promoter fee. Would you look to apply this model elsewhere? And then, Greg, I think at the start of the call, you mentioned $240 million purchase for land adjacent to the site in Vegas. Just wondering if you could provide some incremental detail on what you're buying here and kind of how that ties into the race logistics?
Gregory Maffei: So I'll take a cut and I let Stefano add. I think I indicated we're buying 39 acres for $240 million, and that will be the site of the Pit and Paddock and some other hospitality. We don't have any other financial details yet to release on what else will be spent on that site. I think our decision to promote Vegas in conjunction with Live Nation and local partners is driven by a couple of things. One, proximity, it's fairly easy relative to being in Denver to get to Vegas for us to do the work. And we have some knowledge of the local U.S. market relative to many other markets. But I think more importantly, we see the opportunity to be a promoter as a way to expand our understanding the business, understand what -- how to be a -- the best Formula One product on the track for other promoters as well, to look at an opportunity to grow our knowledge and our understanding and potentially promote other races down the road.  And lastly, I think Vegas is going to be a large and unique -- perhaps unique opportunity. So from a financial perspective, we think this one sets up pretty well to be worthy the time, extra focus to become the promoter. Stefano, I don't know what you would add?
Stefano Domenicali: No. Thanks, Greg. I think that Greg was very spot on all the points. I would say that, as we remember, David, Vegas has been always a place where we do believe that the association between the values of Formula 1 and attracting the possibility to be in that community is crucial. But I would say, on top of the financial things that we can see around that business, we can be seen the enabler to maximize what potentially Vegas could be Formula 1 in terms of awareness, in terms of business creation, in terms of activating an area of the world where we can bring internationality. And I think that is a great win-to-win business also for the ones that are investing there. But for sure, our knowledge of the business and our opportunity to expose with our Live Nation partner, and I think it's the best in order to make sure that in next year in November, we're going to have the race, that event will be spectacular that will be unique as I would say, we can feel here in Miami already.
David Karnovsky: Thank you.
Operator: We'll take our next question from Bryan Kraft with Deutsche Bank.
Bryan Kraft: Hi, good morning. I had a high-level question and then one on Formula One, if you don't mind. I guess, Greg, first, what are your overall thoughts on the economy and the interest rate environment? And how are they impacting your decisions around capital allocation, capital structure and potential new investments? Is now the time to, say, deploy capital for new investments, given the decline in asset prices? Are you more of the mind that cash preservation is most important now? And then on the Formula One side, I guess, Stefano or Greg, can you talk about how Formula One benefits in the -- from what appears to be really strong economics around the Miami Grand Prix? I think the terms there for Miami are a bit more variable than some of your other risk promotion deals. So any color there would be great. And I guess as a follow-up to David's question, was anything that you were seeing in Miami, did that help to inform your strategy to become the promoter for Vegas because you saw that things were going so well there and saw an opportunity to participate in a bigger way and the upside? And then I had one more just on the investment in Vegas in developing that. In terms of order of magnitude, how much bigger might the Vegas build-out get in terms of dollars versus what you've already laid out for this year? And how would you think about potential external financing there, whether it's debt specifically on the project, bringing in some of the creative stuff like you did maybe with the Braves in Atlanta? Thanks.
Gregory Maffei: So I'm going to parse those. On the last one, I don't think we're ready to talk anymore about the outlays at Vegas. It will be bigger than a bread box, but manageable. I don't think we'll need outside partners, and I don't think we'll need debt. We have quite a lot of cash at. I'll let Stefano talk a little bit about -- more about what Miami informed us, and I'll talk more broadly about cash in the market. Thanks. 
Stefano Domenicali: Thanks, Greg. Bryan, I mean, as you know, different form of relation with the promoter is related to maximize the opportunity that each place can bring to Formula One. And I think that it's clear that what we can see, I mean, just arrived today is in Miami, I mean the vibes that we have created as Formula One is immense. It's great. And you can develop, let's say, 2 strategies on that. One, how we can maximize the value that from what we bring to community, but also how we can maximize the value of our partners that are coming here are investing for Formula One can see us as once again the enabling factor of creating business opportunity for them. And this is indirect value that Formula One is bringing very highly today because of the success of our international platform. And of course, the fact that here, we invested together with our promoters, the Miami office, is because they knew the community. They have the right expertise to maximize in the shorter term as possible, what we want to bring here for Formula One. And as I said, the success is already high before the start of the event. And of course, this is the first time we are here. We can see a different business model having a lot of corporate business that wants to develop data to a different mode that is different from place to place. So this is something that also from our side would be very important to learn in order to be even more effective when we come to Las Vegas, and we're going to be directly into the promotion of it.
Gregory Maffei: So on the larger question about the market environment, it's Gary, to try and imagine investing in catching a falling knife in this interest rate environment in stocks. But I have to say, in general, we try and take a longer view. There are opportunities that could create in these environments. Some of the best deals we've done like SiriusXM were created in difficult economic times. We are lucky to have not only cash availability at the SPAC and at an F1 significant excess cash at both and strong free cash flows at Sirius and Formula One that I think that creates opportunity for us. Exactly when that will be timed and when we'll make a decision? We have a lot of benefits in our model, but we have some disadvantages. It's not like we can turn around and just say, by 5% of the company in the market when we think the bottom is it's a longer cycle in finding deals but I definitely think the environment will create opportunities for us, and we'll be on the lookout.
Operator: We'll take our next question from Vijay Jayant with Evercore.
Vijay Jayant: Thanks. On Formula One. On the Las Vegas race for next year, should we think about that as an incremental race? So are we going to 24 races, assuming you get replacement for Russia this year? And again, what is the policy to actually add more races, at least reading some of the drivers keep complaining that the Tumi races already? Is that like a regulatory process that you have to go through with the FI or the teams? Anything on that would be appreciated. And then, on some of the new races coming back since COVID, really, Japan and Singapore, there used to be regional sponsors for them, they're pretty material ones, I think. Is that an expectation we should have that they come back? I think Singapore Airlines and Honda? Thanks so much.
Stefano Domenicali: Thanks, Vijay, I mean I can answer on the calendar. As you know, first of all, we will have not published that the calendar for next year. In terms of process, you know that there is an agreement within us and the FAA and the teams to discuss. And it's on our side, as a commercial right holder, to make sure that we find the right balance between the number of events, the historical event, the new opportunity that can become because we have a world championship. And I think if you think back a couple of years ago, as always, the right value for having a good calendar is related to the demand and to the offer that we can provide. And I think that today, we are always talking about 23, 24 races. And that's what we believe today is the right number considering the success that we are living today. When we were talking about Las Vegas, that will be in the calendar. Of course, that's the only thing that we announced for next year. And I would say, on the other hand, you will see soon what will be our strategy. And we have to respect the process as we discussed, and we're going to announce it not earlier than at the end of summer because that's something that we want to keep it and preparing the right way. With regard to the local promoters/sponsorship with Japan and Singapore, yesterday, we have already announced that Singapore Airlines will be part of the promotional package on Singapore because for them, it's a very important partner. And we respect that. Japan, we are -- you will discover soon that, of course, for Honda, for example, because of their decision to quit officially Formula One, there could be something special that we want to recognize for them during that event. So this is part of the strategic discussion that we are having with other promoters. And I think that the economical benefit, of course, will go into the system and of course, also with us.
Vijay Jayant: Thanks so much. 
Operator: We'll take our next question from Stephen Laszczyk with Goldman Sachs.
Stephen Laszczyk: Thank you. One on Formula One. Revenue in the first quarter came in a little bit stronger than is. I was wondering if you could help us maybe unpack some of the drivers of that strength, maybe across media, sponsorship rate conversion and other revenues, even if that at a high level?
Gregory Maffei: I'm sorry, did revenue beat expectations?
Stephen Laszczyk: Yes, Q1 was ahead.
Gregory Maffei: Well, I mean, for Formula 1, obviously, we had 2 races versus 1 last year, and we're really back to more normal activities than we've been over the past couple of years. So you have full crowds. And we had good sponsorship revenue as well. Also, freight costs have been up a bit and some of those costs are obviously passed on to the team, so there's incremental benefit there. But normal activities compared to the past couple of years is really where we've seen the benefit.
Stefano Domenicali: Yes. If I could just add, I think we've seen growth in almost every revenue category, but the way we recognize revenue ratably across races probably had the single largest impact, the fact that it 2 versus 1 in the first quarter, recognizing that many of our revenue streams are recognized ratably than could tie to the particular race.
Stephen Laszczyk: Got it. And then maybe F for Greg on sports media. I'm curious how you think the interest and ultimately the value of sports media rights could be impacted over the long term. Some of these concerns around slowing subscriber growth ultimately play out. Do you think it's a given your unique live content? Or is the softening market something that you think affects content spend more broadly?
Gregory Maffei: Yes, I think it's a complicated topic and partly where you sit is how you view it. And when I say that, I think there will be strains on the Braves, potentially over the long term as the RSNs become less included in the bundle on a regular basis. That will put pressure on some of the RSN revenue streams. The Braves, in particular, have a very strong RSN revenue stream and a lot of demand. So we may be less impacted than many. But obviously, that turmoil could be a negative. On the other hand, Formula One has seen increases in demand and increase in viewership. And we have the U.S. media rights as commonly known up for bid right now, beginning for next year's season. And we have a lot of interest not only from traditional linear players but digital players. And the offset to some of the decline in cable subs is the increase in some of the digital subscriptions. So that opportunity is -- I think in the net, we're probably better off with more players bidding than the changing landscape maybe plus or minus. And then a charter, which is not the focus of today's call, we have a whole another set of dynamics where in some cases, were helped and in some cases, we may be hurt. So you really need a lot changing and a lot of it depends on which company we're talking about.
Operator: We'll take our next question from Barton Crockett with Rosenblatt Securities.
Barton Crockett: Great. Thanks for taking the question. I wanted to put one question out, which comes from an investor, but I thought it was a good question, which is looking at the Braves, they're trading right now at market value of maybe 3.5 times or so kind of sales. And you've seen private market transactions for baseball teams in the close to 7x kind of sales range. So the question is, why won't you guys take some more steps to try and achieve that value right now for the Braves? One of the things that would seem to be open to you is that you now have a second ATB with Formula One and now Braves. So it would be possible to split maybe the Braves as an actual stock, which might help the value process and get people thinking about private market transactions maybe down the road. So kind of curious what your thought process is there and why you have not pursued those type of opportunities to date?
Gregory Maffei: Great question. Even if it's not your Barton from the investors, still a good question. The -- I think we're looking at all options and considering what we might do, some of these things are more recent about when our ATB flexibility has occurred. There's some issues also. We're still looking at around Syrian what we might do there. As you know, we cross just crossed over the 80 there. We've just had Formula One become an ATB. So there's some moving targets. And we evaluate all opportunities. And I think you're investors probably right. I'm not sure 7 times we'll see. But certainly, the mobile, we're trading at is lower than that multiple, which has been in private transactions. Whether it would still trade to that level of what is a private sale transaction versus a public market transaction, open question. But I do agree that probably having the flexibility to do that would probably improve trading over time.
Barton Crockett: Okay. And then also on the Braves side, I wanted to ask about the RSN deal with the RSN and their pursuit obviously, of rights from teams to the direct-to-consumer streaming service. The Braves are not yet signed up for that, but we did see that a friend of the Braves family at Charter has done a recent deal with Sinclair that involved the RSNs. I'm just wondering, in the past, you guys have seemed very skeptical about signing up for -- to have the Braves carried on that. It seems like you weren't really into that. Now Charter has done a deal with them. I'm just wondering if there's any evolution in your thinking or whether it still seems like not likely that you want to do that?
Gregory Maffei: Well, I think that's evolving Barton as well. And we're Charters, as I kind of similar to the answer I gave before, where you sit, defines what you want to see happen. We have a good RSN deal that runs out until '27. I still think that's probably more value for us than any digital deal. Are there in the incremental kind of digital deals that are around that? Potentially and there's you've seen growth in lots of kind of digital around baseball and now people like Apple entering to buy rights. So I think it's evolving. I don't know if Vale is going to be the lead player. They've got their challenges, but we're certainly open to watching how the market evolves.
Barton Crockett: Okay. Great. Thank you.
Operator: We'll take our next question from David Joyce with Barclays.
David Joyce: Thank you. I have a question on Formula One, please. Conceptually, how should we be thinking about the principal versus agency relationship on self-promoting this? Not looking for any new financial specifics. But just accounting-wise, would it be something where Live Nation is the promoter and is taking all of the top line, but then they have the operating expenses, and therefore, Formula One will get something along the lines of a lease promotion fee plus a margin? Or is this something that is all going to be reflected directly on new Formula One's financials and our partners -- how our partners reflected in that?
Gregory Maffei: Yes. I'll start and let Brian give the really accurate answers. In general, we're the primary partner Live Nation is the -- from a financial perspective is the secondary partner. Their role is very important. But most of the capital investment, mostly outlays, will come from us, not from Live Nation. And we don't anticipate that this is going to be called out separately on our income statements won't be material in that sense. So the lines will generally be folded in promoter fees and the like, sponsorship, hospitality, et cetera. But Brian, what might you correct me on?
Brian Wendling: No, that's very accurate. I would say we'll consolidate, as Greg said. So the revenue and CapEx will be on our books as well as the cost. And also, as Greg said, we would expect that we need to ultimately fine-tune this once we have the race, but our expectation right now is that, you would see the revenues go into their traditional buckets. So PadoClub would go into other revenue and then sponsorship and would go, go where sponsorship currently goes. And then to the extent we're selling tickets, we would expect that, that probably goes into our promoter revenues. So it will look very similar, except for the fact that we're consolidating the cost, which normally -- and all the revenue, whereas under normal promoter relationship, we just have that fee.
David Joyce: Great. Thank you very much. 
Operator: We'll go next to Jason Bazinet with Citi.
Jason Bazinet: Another question on Formula One. You mentioned that you may, over time, maybe promote other races. And I guess if you look at the 24-ish races or whatever, some of those, obviously, are in iconic places where you probably won't self-promote. But if you just -- you were going to blue sky it, how many of the 23 other races that you wouldn't be self-promoting would be in the bucket where you might self-promote?
Gregory Maffei: Well, I don't think we've been -- I'll let Stefano add. I don't think we've announced any plans. We're going to start to see where and how we do this, hopefully, make the success of that we believe we can make it. I would only cautiously say don't be so certain that places which are iconic are places where we will not eventually become a self-promoter. I wouldn't cast aside that opportunity. Stefano, what might you add?
Stefano Domenicali: No, absolutely, Greg. I think that the beauty, if I may say that, of this moment is it's -- because the new promoters are really putting new energy and new vibes into the system, I think this is something that have a collateral effect on the traditional promoter that needs to keep up the pace with respect. And we do respect a lot our promoters because they are the ones that are really working with us to make sure that we have a great ratio around the world. But this effect is giving us an incredible boost to make sure that all the system is very active to maximize what we are bringing into the plan. And this is really what Greg said is never say never. But with this in mind, I would say we are very happy with the promoters that are working with us. They are very, very loyal -- reliable partners on which we're going to build up even a stronger future together.
Jason Bazinet: That’s great. Thank you.
Operator: We'll take a final question from Matthew Harrigan with Benchmark.
Matthew Harrigan: Thank you. Clearly, you had a takeoff in the U.S. for Formula One, which is really going to help with ESPN. And at the same time, you've got a lot of geopolitical changes, going away, the whackable COVID China, hopefully, Shanghai comes back. Particularly with the desirability of getting more better times in the U.S., if it really becomes even more appealing for ESPN. Would you be more inclined to look at bringing back something like nerve gang and maybe even promoting it yourself and some of the classic venues and kind of going more U.S. and Europe versus a lot of the expansion that's taking place in Asia and in the Middle East? I know some of the Middle Eastern races are hugely successful and they're going to stay around. But the world is changing so much. It looks like more Formula One is a winner, but just how complex is your life of everything going on in the world on fuel politics?
Stefano Domenicali: Well, what I can say, Matt, is that the Formula One and we've proven to be, let's say, as flexible as possible also in the COVID situation to maximize the fact that we wanted to have a great championship. And our duty is to make sure that we, first of all, our world championship. And we are investing either with partners or either with us involved as in that to make sure that the strategic markets are becoming crucial for Formula One would be part of it. And you correctly say that U.S. has an incredible boom in the last, I would say, 2 years. And the duty is to make sure that we can even maximize more the effect on that. But we have other areas of the world that needs to be developed and need to be respected because of the tradition. But tradition doesn't mean that it's something given for grant. Tradition is a great base on which we're going to build up a better future. Europe has to stay for sure with a good bunch of number of races in our calendar. They will stay. You were talking about. I mean the German landscape is, for sure, a very interesting landscape on which no matter will be the promoter. We need to see what could be the action if needed -- that we have recovered that in the calendar. I'm sure if you want to be specific on that, there's something that could happen soon could be very important to be back on the collab. But we don't have to forget that we have -- we want to invest in the Far East world because we so far been affected by COVID, but there is a great potential to grow there. We have to have the world, which is Africa, on which we may develop business there. So it's a great moment for us to maximize the opportunities to see what will be the right schedule in the future of Formula One. We will not take out of the equation, some places with the rotational principle because that will give a leverage to be in multiple markets. So as I said, that is really our strategic thinking with regard to our future calendar.
Matthew Harrigan: And then, I guess, continuing with the German theme, there's still this discussion of new OEMs coming in to Formula One. I know you can't be specific, but it feels like there are a lot of positive things still putting in that direction? Are you still having discussions with various people on that?
Stefano Domenicali: Well, I can -- as you can imagine, Matthew, we cannot be specific on that. The good news is that we can see what we read. And we know we're doing -- working with all the manufacturers. And if I may on that specific point, without saying anything related to something that we can say, the good -- an incredible news that today Formula One is really showing the leadership in the technological landscape of the automotive business in the motor spot, of course. And our choices related to sustainable to in the future. And our strong path that we want to prove to the world that we are really serious in the carbon net zero within 2030 is something that really gives us credibility and this is the reason why everyone -- not only the ones that you read are really interested to have talks with us.
Matthew Harrigan: Perfect. Thank you.
Brian Wendling: Operator, I think that we're done. To the listening audience, again, thank you for your interest in Liberty Media. As we said, we hope to see some of you here in Miami. And for those who are not able to get to Miami, we do encourage you to watch and hope to speak to you again next quarter, if not sooner. Thank you.
Operator: That will conclude today's call. We appreciate your participation.